Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2009 Vulcan Materials Earnings Call. My name is Shamika and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). I would now like to turn the presentation over to your host for today's call, Mr. Don James, Chairman and Chief Executive Officer.
Don James: Good morning. Thank you for joining this conference call to discuss our first quarter results and our outlook for the remainder of 2009. As the announcer said, I am Don James, Chairman and Chief Executive Officer of Vulcan Materials. We appreciate your interest in Vulcan, and we hope our remarks and dialog will be helpful to you today. A replay of this conference call will be available later today at our website. Joining me today is Dan Sansone, our Senior Vice President and Chief Financial Officer and Mac Badgett; Ron McAbee; and Danny Shepherd, our Senior Vice Presidents who run our Construction Materials businesses. Before I begin, let me remind that you certain matters discussed in this conference call contain forward-looking statements which are subject to risks and uncertainties. Description of these risks and uncertainties are detailed in the company's SEC reports, including our most recent report on Form 10-K. Our first quarter was characterized by an extremely weak construction economy and extremely weak demand for construction materials. The current downturn in demand for aggregates began in the second quarter of 2006. We have since seen 12 consecutive quarters of lower shipments. As I have previously stated, we have reduced operating rates throughout the company to levels that match current demand. We have taken actions to reduce costs and improve productivity. We also have sharply reduced both production levels and inventory levels. Earnings from continuing operations were a loss of $0.29 per diluted share, including $0.58 per diluted share referable to lower aggregates volumes versus the prior year's first quarter. Cash earnings in the first quarter were $70 million versus $112 million in the prior year. EBITDA was $97 million versus $160 million last year. First quarter earnings in our aggregate segments were lower compared to last year. Aggregate shipments declined 30% versus the prior year's first quarter, reducing EBITDA approximately $84 million. In the first quarter, the average freight adjusted unit sales price for aggregates increased 2% from the prior year's first quarter, adding $7 million to EBITDA. We experienced wide variations in the level of price increases across our markets. Many markets realized price improvements from the prior year above the 2% average while markets in the far west reported year-over-year declines in their average selling price. Excluding these far western markets, aggregates pricing improved 4% from the prior year's first quarter. During the first quarter, our plant managers mitigated much of the cost pressures caused by significantly lower volumes. As a result of their actions, unit variable production costs were flat with the prior year and cash fixed costs decreased 21%. These cost control measures demonstrate the greater production flexibility of an aggregates plant versus continuous process manufacturing facilities used in many other industries. In the first quarter, the average unit cost for diesel fuel decreased 47% from the prior year, and increased operating earnings by approximately $13 million. In contrast to typical seasonal operating plans, we reduced production in inventory levels of aggregates during the first quarter of 2009. These decisions penalized first quarter earnings but improved cash generation and better positioned us for improving operating performance as we move forward in the latter parts of the year. Earnings from our asphalt and concrete segment were lower than the prior year's first quarter, reflecting improved asphalt earnings, offset by lower concrete earnings. We initiated pricing actions in the fourth quarter of last year to recover the rapid escalation in the cost of liquid asphalt and have offset the margin erosion we experienced last year in our asphalt product line. Asphalt volumes declined 27% from the prior year's first quarter, and asphalt mix prices increased 13% from the prior year. Asphalt material margins in the first quarter recovered to more normal levels, reflecting recent moderation in the cost of liquid asphalt. The average unit price we paid for liquid asphalt in the first quarter decreased 10% from the prior year's first quarter. Selling, administrative and general expenses in the first quarter of 2009 decreased $13 million from the prior year. Employment levels across the company are down 14% from the prior year, driving reductions in salaries, fringes and other employee-related expenses. Performance-based compensation accruals were lower versus the prior year. These cost reductions more than offset $3 million of project costs related to the replacement of legacy IT systems and their related consolidation of certain administrative support functions. In summary, I believe our management teams are running their businesses well in an extremely tough economic environment. As we look forward to the remainder of 2009, reduced levels of contract awards reported during the first quarter point toward lower residential construction activity, albeit from an already low base. Private, non-residential construction activity also has been declining, and is expected to weaken further throughout the rest of 2009. Through the first three months of 2009, highway awards were lower when compared to the prior year. However, early reports show that state and local departments of transportation are making good progress using stimulus dollars to make highway investments. In fact, most Vulcan-served states have obligated some portion of their highway stimulus funds in the past two months, and we expect bidding activity to increase both in the number of projects and the frequency of bid lettings during the next few years. Key Vulcan-served states such as California, Florida and Texas will receive the largest percentage of highway funding under the stimulus plan. These states are also likely targets for above-average funding for stimulus spending for other forms of infrastructure because of their high growth and large population base. Vulcan sales in these three states will benefit not only from our aggregates focused strategy, but from our complementary asphalt and concrete operations. We have identified three broad categories of infrastructure projects in the stimulus plan that will use our products. These categories account for $50 billion to $60 billion of construction spending and include transportation projects, which are the most aggregates intensive. Water and environmental infrastructure projects and buildings, which include those for schools, for the military and for medical and other facilities. Another feature of the economic stimulus plan is to provide much needed funding for state and local governments at lower borrowing costs through the implementation of the Build America Bonds program. The program is intended to provide a federal subsidy for a larger portion of the borrowing cost of state and local governments than traditional tax exempt bonds and will be attractive to a broader group of investors. Guidelines for this program were announced a month ago by the Treasury. Already, several state agencies, including those in California and Virginia, have issued Build America Bonds successfully. The sale of $5 billion in bonds in California is the largest so far and is allowing the state to restart more than 5,000 projects that have been on hold since December of 2008. Yesterday, Governor Schwarzenegger announced that California had already obligated $1 billion of stimulus funds for transportation projects for the State of California, and other states are moving very quickly in that regard. Overall, we expect full year aggregates shipments for Vulcan to decline 10% to 15% from 2008 levels, inclusive of shipments referable to the economic stimulus plan. Our volume outlook for the first year assumes lower aggregates demand versus 2008 levels in all major end markets. We have revised our expectation for aggregates demand from residential and private non-residential construction downward due to the additional weakness forecasted in the markets. We expect declines in aggregates demand from highways and infrastructure to be in the low-to-mid single digits versus the prior year, including some projected incremental demand starting in the second half of 2009 from the first of the economic stimulus projects underway are scheduled for bid during the next few months. We expect selling prices for aggregates to rise 4% to 6% in 2009 and to help offset the earnings effect of lower volumes. We expect earnings from our asphalt and concrete segment to increase in 2009, due primarily to a recovery in materials margins in our asphalt business where higher selling prices reflect the past year's increases in cost for key raw materials. Asphalt and concrete sales volumes in 2009 are expected to be slightly lower than 2008 levels. Segment earnings in cement will be lower in 2009 due to lower shipments. We now expect our average cost of diesel fuel for 2009 will be approximately $1.58 per gallon lower than the 2008 average unit cost. Our earnings sensitivity to changes in diesel fuel prices has diminished given the current weakness in demand. At the peak of demand, we purchased approximately 65 million gallons annually. In 2009, we expect to purchase about 45 million gallons. As a result, every $0.10 per gallon change in the price affects pretax earnings approximately 4.5 million at current demand levels. We expect full year [SAG] expense to be slightly lower in 2009 as increased cost related to the replacement of legacy IT systems are more than offset by the effects of cost reduction efforts. Total project costs will peak in 2009 as implementation begins in the fall. Full year IT project costs in 2009 should approximate $16 million. Interest expense in 2009 is expected to be about $175 million based on the current interest rate levels. Our plants and equipment are in very good condition. Reinvestment in these assets over the last few years has increased production capacity and efficiency and reduced the average age of our rolling stock. As a result, we expect capital spending to be approximately $200 million, down sharply from last year's levels. In early February, we improved our liquidity through the issuance of $400 million of long-term debt. Proceeds of this debt offering reduced short-term bank borrowings, thereby freeing up a like amount of liquidity under our lines of credit. In April, we utilized $250 million of the liquidity under our lines of credit to pay off $250 million of 10-year notes as scheduled. In the first quarter, we reduced debt by $33 million, and we expect to reduce total debt by $200 million during 2009. Another development that I want to discuss briefly is the status of the Lake Belt litigation in South Florida. On January the 30th, of this year, the U.S. District Court for the Southern District of Florida issued its second ruling, invalidating all of the permits approved in 2002 for limestone mining in the Lake Belt area of Miami-Dade, after its first ruling was reversed on appeal. The ruling pertains to the U.S. Army Corps of Engineers issued permits to several companies including the permit issued to Vulcan's Miami quarry. The companies in the Lake Belt region affected in the ruling as well as the plaintiff have filed briefs with the 11th Circuit Court of Appeals. Oral argument is currently being scheduled. The Lake Belt region historically has supplied as much as 50 million to 60 million tons of aggregates to Florida markets including Miami, Jacksonville, Orlando and Tampa. The aggregates reserves in this region also serve as an important source of feed stock for those companies which have cement plants in Miami. As I mentioned, Vulcan has one quarry affected by the latest ruling. In 2008, Vulcan's Miami quarry sold approximately 1.5 million tons. At this point, none of the quarries in the Lake Belt are mining limestone, although most, if not all, are processing stockpiled feed stock. This past Friday, May the 1st, the Corps of Engineers issued its supplemental environmental impact statement, which is the first step in issuing revised permits for the Lake Belt mining. This process will continue to work its way out and is unlikely to be resolved until sometime next year. In closing, I would like to reiterate our confidence in future sales and earnings growth for Vulcan. This confidence comes from our successful strategy to establish an aggregates focused business that has the compelling advantage of great locations in major U.S. markets that are expected to experience above-average growth in aggregates demand for many years into the future. The current economy is weak, but the economic stimulus plan signed by the President in mid February should help offset some of the economic weakness beginning in the second half of 2009 and provide much needed support for creating jobs and getting our economy back on track. We are focused on the upcoming renewal of the six year Federal Highway Bill by Congress. The next highway bill will play an important role in creating jobs and addressing our aging infrastructure. We, along with many businesses and industry groups such as the U.S. Chamber of Commerce and the American Trucking Association are urging Congress to act in a timely manner to sustain the momentum started by the economic stimulus plan and to fund the highway programs at levels recommended by the two Congressional Commissions which have studied the needs for our highway infrastructure. For Vulcan, a daily discipline with a long-term focus will lead us through these challenging economic times. Our organization is meeting the challenge and preserving the profitability of our business by staying focused on pricing our products to reflect their great value in the attractive markets we serve and by aggressively managing costs, we will continue to create value for our shareholders. We thank you for your interest in Vulcan. Now if our operator will give you the required instructions, we will be happy to respond to your questions.
Operator: Thank you. (Operator Instructions ). You have a question from the line of Garik Shmois from Longbow Research.
Garik Shmois - Longbow Research: First question is on the pricing mix out west. Just wondering if you could quantify what percentage of your shipments were negatively impacted by the ballast in the [fill material] you were shipping.
Don James: It is probably in the neighborhood of 1 million tons.
Garik Shmois - Longbow Research: Are these short-term contracts in nature that you expect to roll over here in the near-term? Or should we expect this negative mix to persist through the balance of the year?
Don James: No. The fill material was just a byproduct material that did not meet expectations for construction grade material. It does run through our plant, so we count it as production in sales, but we stockpile that material routinely and then when there is a project that can consume it, we will sell it for that project. So I don't imagine we will see the impact of the fill material in anything like the same degree that we saw in the first quarter. Railroad ballast sales will continue. That is a new product line for us in the west. We acquired a quarry outside of Sacramento that produces a substantial amount of railroad ballast. It was not in our portfolio in the last quarter. Railroad ballast has actually been one of our stronger product lines in the first quarter, and so that product requires less processing and is sold at, probably on average $3 to $4 a ton lower than material going into asphalt and concrete.
Garik Shmois - Longbow Research: Just a couple more quick questions on stimulus. Obviously, you are hopeful that the second half of the year you are going to see an improvement in volumes. But is there a rule of thumb that you can point to as far as how quickly you can start shipping after a project has been obligated by the state?
Don James: It depends on the nature of the project. For resurfacing projects, it goes very quickly. Many of these, as you are aware, are resurfacing projects, so we would expect to see some volume. We don't have enough data to try to pinpoint whether it is going to hit in the third quarter or the fourth quarter of '09 or the first or second quarter of 2010. But these projects we believe will move faster than highway construction projects have historically. There aren't very many big earth moving projects in these stimulus package projects that take a long time to get done. There are lane additions and those will go relatively quickly. Bridges will be more slow to get started and in some states, there are a fair amount of bridges. But I think we are very encouraged by the speed at which the DoTs have already bid projects and have set projects up for bid in the next few months. It will certainly benefit us. The benefit clearly will arrive in 2010 and 2011. How much of it we see in the second half we're continuing to monitor, but we believe we'll see some.
Garik Shmois - Longbow Research: Lastly on the bids that you are seeing. We have been hearing about some of the bids coming in below engineer's estimates. Can you talk about what you are seeing on the aggregates pricing side on stimulus projects coming down the pike?
Don James: I think aggregate pricing on stimulus projects will be consistent with aggregate pricing on every other type of project. It won't be a increase or decrease in the price of our materials because it is a stimulus project as opposed to any other type of project. There is just not any basis for that. I think some bids coming in at below engineering estimates for construction are probably much more related to the drop in liquid asphalt prices, the drop in diesel fuel prices, the drop in steel prices, which very substantially affect the engineering estimates and a lot of the engineering estimates were put together in a time period in which the price of those products were much higher than they are today. So I would expect that to be the basis of bids coming in below engineering estimates and not related to aggregate pricing.
Operator: Your next question comes from the line of Chris Manuel of KeyBanc.
Jason Brown - KeyBanc: This is Jason Brown actually on for Chris. Just a follow-up on the underlying price decline in your western markets. Net of the mix shift, I think you said prices were lower. Just wondering if this was just a function of a fragmented market where pricing got more competitive, or if there was something else more at work there. And secondly, realizing that your pricing is not directly related in different regions. Is there anything that gives you confidence that this won't occur in other regions?
Don James: Well, I think the pricing, particularly in California, is interesting. We started, as you probably know, with among the highest prices we enjoy in the country in California, and we've had among the highest rate of increase of pricing in California over the year since we have been there. Really since 2000 we have had very strong price growth in California to the point that as I have said, almost our highest-priced markets in the country were in California. California started down on the private construction side early in the process. So there has been more stress on volumes in California than perhaps in other states, at least early on. I think when the California infrastructure program started back in 2008 awarding bids, you saw a lot of people hungry for work, and you saw very aggressive bidding. I believe we will see as the stimulus projects get bid and as other public infrastructure work and the big California infrastructure program that is separate from the stimulus begin to roll forward, we will see a slightly better pricing environment. I think across the rest of the country, certainly private construction remains weak in almost all of the markets. So do have that pressure. I think the stimulus package and the upcoming highway bill will provide stability across virtually all markets in the U.S.
Jason Brown - KeyBanc: On the mix shift for the back half of the year, obviously your projects will be leaning toward public works projects, and I think you've said before that those are actually, on average, higher priced products. I was just wondering if I had that right.
Don James: Yes, that's correct. When you produce material for federal highway projects, it tends to have much tighter specifications. It is more costly to produce and it has higher pricing. So I think generally our pricing guidance of 4% to 6% for the full year anticipates a mix shift to some extent to more highway projects versus private construction.
Operator: Your next question comes from the line of Kathryn Thompson of Thompson Research Group.
Kathryn Thompson - Thompson Research Group: As far as your guidance outlined today, how much of that includes stimulus. I just want to make sure your previous guidance in your previous quarter did not include stimulus.
Don James: Yes, our previous guidance, Kathryn, did not include stimulus. Our current guidance attempts to include stimulus. It's the timing whether those projects ship in 2009 or 2010 is still very difficult to predict, but we have attempted to add a modest amount to our 2009 guidance to reflect some of the stimulus projects. Hopefully it will move faster, but at this point, we have included it, but at a very modest level.
Kathryn Thompson - Thompson Research Group: Would it be a reasonable assumption of saying excluding stimulus, all things equal, that volumes will be down, say, 15% to 20%? Is that another way to looking on an apples-apples basis?
Don James: The amount that we have included in stimulus, we really only increased our highway projection or the aggregates going into highways by about 1% for the stimulus. We have increased on some other like water and sewer projects, which are really relatively small volumes, a few percentage points. So I don't think there is that big of -- you have said from 10% to 15% to 15% to 20%. We don't think it's that big a impact from stimulus in our guidance.
Kathryn Thompson - Thompson Research Group: Given the aggressive bidding on stimulus work, particularly in certain states, how much leverage do you have in pricing, and how do you manage that amount?
Don James: I mean a stimulus project is no different than any of our other projects. We look at where the project is located, who the potential customers we have who are viable bidders for that project, and we work with them to try to come up with a price that allows them to get the work and gives us a fair return on our materials. That's a case-by-case, project-by-project process, and it really depends on a number of factors that are project specific. As we've said before, we don't set a price in the corporate office because if we do, we can't possibly have the local market knowledge that is necessary to be successful in pricing. So the stimulus projects are not dealt any differently than our regular highway work.
Kathryn Thompson - Thompson Research Group: That makes perfect sense. Right now I mean from the bidding does (inaudible ) it sounds like what you are saying.
Don James: I am sorry, I missed your last question, Kathryn.
Kathryn Thompson - Thompson Research Group: You really haven't seen any impact from bidding activity yet at any meaningful level?
Don James: There is no shipment impact from stimulus projects in the first quarter. They will not likely be any shipment impact from stimulus projects in the second quarter. As we have said earlier, we expect to see some in the second half. The amount of that is really difficult to predict at this point until we see when our customers can get mobilized and get underway. That is not to say, however, that there is that there have been a lot of stimulus projects already bid by the state DoTs and by local DoTs. In fact, as I mentioned, the State of California has already bid $1 billion in stimulus projects. So that is moving very quickly. In terms of the DoTs getting the projects out for bids, getting the money obligated. So we are happy with that. There is zero impact in the first quarter in terms of shipments, and I will be surprised if there is any impact in the second quarter from stimulus. It is in the pipeline, and it will be there, and it is going to sustain demand, certainly through 2010, 2011, probably into 2012.
Kathryn Thompson - Thompson Research Group: Well, maybe we will take a break from the stimulus questions. Just general, could you give additional color on regional pricing trends, and then also, are there any meaningful changes in your non-res and residential housing outlook for 2009?
Don James: I'll address the first part of that first. We track contract awards. Companies publish contract awards for various categories of private non-res work in our markets, and we also track housing starts in our markets. As we look at those two factors plus our own information that we get from our teams in the field, this is not going to be a great year for any private construction activity. The one exception to that being, as we said in our press release, I think on the Gulf Coast, there is a fair amount of heavy industrial construction that we are supplying, and that has remained good. In fact, the Gulf Coast is the one market where we are up in volume year-over-year. So we are pleased with that. The first part of your question, Kathryn, could you repeat that for me?
Kathryn Thompson - Thompson Research Group: Any additional color on regional pricing differences.
Don James: Yes, okay. As we've said, excluding the far west, which is essentially California and Arizona, we got about 4% price increase and again, that was in a very tough market in the worst quarter of the year. We believe, that pricing will certainly be positive and we will get real price growth throughout the whole country for the full year. The issues in the west, I tried to respond to earlier really have to do with the length of time. That the private construction economy in California have been extremely weak, and as you know, there's been a lot in the paper about the California state budgets. There are still a lot of things in the paper, so there has been a great deal more uncertainty in the state of California than in the rest of the country, and I think we have seen that in pricing for products there. Hopefully when the California construction economy begins to stabilize, we will see pricing opportunities that look more like the rest of the country right now. But outside of the far west, virtually all of our major markets had price increases in the first quarter.
Kathryn Thompson - Thompson Research Group: For your Florida market and given the Lake Belt situation, is it safe to assume that pricing in that market may be slightly above the overall corporate average?
Don James: Well, I think it certainly has the opportunity for that to happen. We got price increases in Florida in the first quarter as we did in all of our other markets other than the far west. I think today, those companies producing material in the Lake Belt, as I have said in our remarks, cannot mine. Most companies, including Vulcan, have stockpiled material that we are processing, but that can be measured in months, and I don't think anybody believes that this whole issue, either with the Corps of Engineers or the Federal Courts is going to be resolved anytime soon. So I think you are absolutely correct that the environment for material availability in Florida and therefore pricing has some upside potential.
Kathryn Thompson - Thompson Research Group: Final question. Do you have any indications to buy or sell any assets within Vulcan?
Don James: If there is a strategically located bolt-on quarry that we think is important for the long-term reserves and market presence, we certainly will be interested in continuing to make those kind of acquisitions. We constantly prune our portfolio of businesses, and if we are in markets where it is very difficult to get above cost of capital returns on our investment, our business model says we will exit those markets and we continually look for those opportunities. So I don't think, Kathryn, either of those strategies have changed or will change in this climate. We aren't putting up large blocks of assets for sale for any reason.
Operator: Your next question comes from the line of Trey Grooms of Stephans, Incorporated.
Trey Grooms - Stephans, Inc.: A couple of questions. Give us an update on kind of where the specific mix for your end market stands right now. So, kind of how much is currently coming from residential, commercial, et cetera. If there has been any change from what you have said in the past, Also on that, you mentioned that you expect infrastructure down kind of low-to-mid single digits, if I heard you correctly. Could you give us a little more specific kind of expectations for what is baked into your guidance for the other end markets?
Don James: Sure. Our end market mix has no mystery to this. Certainly housing is down into the low teens, maybe even lower than that today. The part that will be growing as an end market will be public infrastructure generally, including specifically highways, but also other publicly funded infrastructure private non-res, the stores piece, retail, is weak and falling. Office buildings are weak and falling. Industrial plants are holding up, institutional buildings are holding up. So private non-res as a percent of our total historically has run 27% or 28%. I expect it will drop down into the mid-20s. We will see public infrastructure spending again go back over 50% of our total end market mix. I mentioned earlier railroad ballast is really one of our stronger end markets now. Railroads continue to need ballast, and we are well positioned in a number places to provide that. So that segment as a percent of total may grow slightly, but the big growth will be in public infrastructure, particularly highways, and I see us moving back towards the plus 50% range there with housing probably getting at some point to half of the norm. That is 10% of our total volume versus 20% and then private non-res moving down a couple of percentage points.
Trey Grooms - Stephans, Inc.: Could you just give us an idea of your expectations for -- I know you say they're coming down, but you said for infrastructure coming down low-to-single digits. What is your expectation specifically for some of these other end markets other than just -- I know you are expecting them to come down, but I mean for like commercial, do you think it will be down 20%, 30% this year? Or could you quantify?
Don James: Sure. We think highways and infrastructure will be down about 4% year-over-year in terms of aggregate volume going into it, and that can move around a lot depending on whether these stimulus projects go fast or slow. That's our current estimate. Residential we see down about 34% year-over-year. Office buildings and stores, 28%, 29% year-over-year decline. Manufacturing down much less than that, probably about 5%. Institutional buildings down about 10% or 11% and government buildings flat to down slightly. So the big drops are obviously residential and office buildings and stores. The strength being in highways, infrastructure and government buildings.
Trey Grooms - Stephans, Inc.: You have mentioned in the press release and then also on the call that energy projects, rather, as well as some big industrial projects helped the Gulf market. How long are those projects expected to last?
Don James: Some of them will continue throughout 2009. Maybe beyond that. Whether there will be in this market new projects coming down the pipeline of the same magnitude is doubtful. But we are certainly enjoying them now. I think what we see going forward, the automobile plant in Chattanooga, the Volkswagen plant is moving forward. The ThyssenKrupp steel plant in Mobile is moving forward. The big intermodal rail yard south of Chicago I think is moving forward. So there are significant projects around. I think one of the things that is most encouraging to me, and I have had conversations with people in the ocean shipping industry, is that while we won't see it in '09 or '10 probably, for the longer term, there are going to be some very large port projects in the U.S. Gulf and South Atlantic coast. As the Panama canal project gets underway and the additional capacity necessary to accommodate the larger ships and increased number of ships that will be diverted from the West Coast to the Gulf Coast and Atlantic. So that demand sector, I think has got a lot of upside to it. You are not going to see that, the impact for at least a couple of years. Hopefully, that will kick in as some of these other large projects begin to wind down.
Trey Grooms - Stephans, Inc.: My last question is, I am sure it is tough to quantify this, but the carryover from kind of mid 2008 price increases into what we saw in the first quarter, is there any way to kind of think about how much those price increases benefited the quarter, the price increase announced in the quarter?
Don James: I can tell you that some of the price increase in the quarter came from '08 price increases. Probably relatively little because of the relatively low volumes in the first quarter. You just don't see the impact of it. The mix in the first quarter isn't our sweet spot, because not many people are putting down asphalt in the first quarter in many markets. The price increases that are in the pipeline will, I believe, be more visible as we move forward in the second and the third quarter than they were in the first. That didn't answer your question, but you knew when you asked it, I couldn't answer it the way you asked it.
Operator: Your next question comes from the line of Mike Betts of JPMorgan.
Mike Betts - JPMorgan: I've got I think three, maybe four questions, but three major ones. The first one is kind of a bit of a technical one, that the average freight adjusted aggregates price seems to be restated for Q1 '08 down from $10.19 to $10.04. Could Dan or somebody maybe explain why that restatements were posted?
Don James: So you have a technical question, I have to refer it to Dan Sansone.
Dan Sansone: Which gives me the distinct honor of admitting that there was an error, in the calculation in the first quarter of last year in adjusting out those freight numbers, so, we just corrected it. What you have in this report is, in fact, the proper number for both quarters.
Mike Betts - JPMorgan: Okay. Apologies for asking that question.
Don James: Only would you find that one, Mike.
Mike Betts - JPMorgan: Well, I am sure you find plenty of errors in my reports. So, please, I am not encouraging you to look. Second question, you have lowered the pricing guidance, Don, for the year by a couple of percentage points. Was that just the factors that went on out west in Q1 with more ballast and also the weaker pricing there? Or actually, have you struggled in some of the areas that you, maybe when gave the initial guidance were more optimistic on pricing?
Don James: I think our pricing guidance was heavily influenced by what we saw in the far west. Certainly, our volume guidance into the private sector, both residential and private non-res is weaker or our outlook is weaker today than it was at the end of the year, based on contract awards that are from published data. While we wish we were immune to competitive pressures, we clearly are not. We have competition in every market for every job and with weaker demand that does affect the pricing. So our guidance is adjusted on the basis of pricing in California, number one and weaker private sector demand in the rest of the country. The reported average price could be impacted by the amount of stimulus projects that actually get shipped because as we say while we wouldn't increase price because of the stimulus projects, they will improve our mix into higher priced products because they would go into federal highway construction and airports.
Mike Betts - JPMorgan: My third question. You gave in your presentation some cost savings in terms of lower numbers of employees, et cetera. Is that just a carry over from what you did last year? Or given the volume declines that you've just mentioned, have you implemented any significant further rationalization or cost saving measures this quarter?
Don James: Yes. We have continued to rationalize our operating hours and our production. We actually shipped more in the first quarter than we produced which helped us reduce our inventory levels. As you know from the way accounting works, we make more money when we are producing material, but we made the conscious decision to cut back production so that we could manage our inventories. Hopefully, as we move into the second and third quarters, we can bring people back to work or run our plants longer hours. We did reduce our employee headcount some in the first quarter over just the sequential quarter of last quarter 2008. That is not something we like to do or feel good about. We think in this economy, it has been necessary to do, and we certainly want to bring people back to work as soon as we can.
Operator: You have a question from the line of Timna Tanners of UBS.
Timna Tanners - UBS: Just a couple of question I think left. Wondering if you could maybe Dan can give us an update when we might see another impairment test at Florida Rock. Is there anything coming up on that?
Dan Sansone: Well the accounting rules, require a test annually. We have historically performed that test in the fourth quarter. We do not believe that there has been a triggering event of sufficient magnitude to indicate an interim formal testing. So as of right now, absent any further developments, we would go through the rigorous test in the fourth quarter.
Timna Tanners - UBS: What would be a triggering event, just for my edification?
Don James: Somewhat loosely defined, but it is some event that would be significant enough on the performance of the business to cause you to suspect that there might be an issue. I am making these things up here, for example, if the stimulus program was not in place and there was further indications of a collapse in volume maybe that could be a triggering event. We don't see anything that would have an adverse affect on the business beyond what has already been incorporated into our fourth quarter 2008 goodwill impairment testing assumptions. So kind of a moving target, we built in kind of a current view of the world in our fourth quarter assumptions. If you think about goodwill impairment testing, in this industry in particular, you are doing discounted cash flow projections over an extended period of time. Whatever modest modifications we've made in our volume and pricing guidance for 2009 is immaterial to the valuation of this business over a 20-plus year time frame.
Timna Tanners - UBS: The other thing I wanted to do was follow-up on some comments that Don made in the introduction about [Stacy Lou] and the reauthorization of the successor to that. PCI recently anticipated that there would be a year lag before it gets reauthorized. Can you comment on that? Do you think that is true? What are you doing, and what is the mood right now in Washington regarding impetus to passing that in a more timely manner?
Don James: I don't have a prediction as to when it is likely to pass. I think history says it is unlikely to be passed at its due date, which would be October 1 of 2009. I think the places to look, I guess the budget resolution has highway funding continuing in FY '10 at the same level it was in FY '09, which is about $43 billion. If you look at that over a six-year basis that is a 13% increase over the last six-year highway bill. That is sort of the low point, we think in the process, and that budget resolution I think is at $325 billion, which would be the six-year look. The heads of the authorizing committees, that is, transportation and infrastructure in the House and the parallel committee in the Senate have both been talking about a $500 billion program, which would be extraordinarily robust. The issue, of course, is how to fund it. The two commissions that Congress authorized to go study, both the infrastructure needs of the U.S., the surface transportation infrastructure needs and the funding sources have both come back with recommendations to Congress, and they both include increase in the fuel tax. I think it is it particularly encouraging that the general business community as represented by the U.S. Chamber of Commerce, by the National Association of Manufacturers and particularly by the American Trucking Association are all saying fund highways at the level being recommended by these commissions, because it will increase economic efficiency. It will increase fuel efficiency, and ultimately, it will reduce emissions if we have trucks and cars moving through metropolitan areas at some steady rate of speed as opposed to the stop and go congestion we have today. In addition to recommending fuel taxes, which perhaps the American Trucking Association represents the largest single group of consumers of motor fuel, they are saying raise the tax, commit it to congestion relief. The commissions also recommend increased use of tolling, congestion pricing for tolling, which is now feasible from an IT standpoint, and the continuing work to facilitate public/private partnerships or private money going into the highways. We are seeing all of that working. Chairman Oberstar has specifically said he wants to cut through a lot of the bureaucracy in Washington and streamline the flow of funds and cut the total number of accounts from some huge number down to about four in order to not only speed the process for highway construction. So that we can move the dollars through more quickly and efficiently, but also increase the amount of funding in the near-term. So there is a lot working there. I can't tell you when and how it is going to work out. Certainly the Obama administration needs to be heavily involved in the process. I think there is a case to be made from the environmental standpoint that higher fuel taxes will facilitate the shift to more fuel efficient cars. So there is a lot of public policy benefit to what is going on in the highway funding area in addition to just building more infrastructure.
Operator: Your next question comes from the line of Jack Kasprzak of BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: This is Adam Thalhimer calling in for Jack. Most of my questions have been answered. I have just one left. I wonder if you comment just broadly on the commercial downturn. I know in the past, non-res cycles have tended to last for two to three years. I am wondering, is there a chance that this time around the commercial market comes back a little faster if the credit markets soften up?
Don James: Well, I think certainly all private non-res construction is being impacted greatly by the credit issue. That's the single biggest factor in my view. There is weakness in retail and there is weakness in business travel because of the overall economy, but there are a lot of projects that are ready to go if the credit markets return anywhere near normal. So I think that is the single issue with respect to private non-res construction, is the credit markets. I can't tell you how many developers that I have heard from, that say, I can't get my project financed in this market and as soon as I can, it will go. That seems to be pervasive all across the country right now. Housing, on the other hand, credit, while it requires larger down payments, mortgage rates are at very attractive levels. So the housing side is a function of not so much the credit markets as it is the uncertainty about what is happening to housing prices. Housing starts are down at 500,000 to 550,000 starts when most economists are saying the level to sustain the housing stock in the U.S. and meet the demand from household formations is more like 1.5 million. So we are running at plus or minus a third of what is necessary to sustain the housing stock. That maybe the place we see recovery surprising people at some point in the future. I am not predicting when that is going to be. We are saying, I think, that the public infrastructure is going to be the key demand sector for us. Another factor in the store side that I think is important is that a lot of the big box retailers and those that are relatively prosperous in this economy like Wal-Mart. Wal-Mart is going to build its own building. It doesn't matter that there may be five big box stores available for lease in a marketplace. If Wal-Mart wants to put a building in, they are going to build their new building. There are other big box retailers that have the same business model. That is their store and the layout of the store is part of their brand, and so those buildings are going to continue to get built notwithstanding some vacancy rates in particular markets. I think that's a relatively interesting phenomenon from that standpoint.
Operator: Your next question comes from the line of Brent Thielman of DA Davidson.
Brent Thielman - DA Davidson: Don, I think you mentioned in your prepared remarks that you expected asphalt and concrete sales to be down in 2009, but I guess I am wondering, would you expect at least in terms of tonnage in the asphalt mix business in the second half, to begin to grow just given some of the, I guess more of the resurfacing work coming in?
Don James: The second half asphalt tonnage will be significantly influenced by the timing of the stimulus projects on the one hand, and a large part of our asphalt business is in California. The resumption by the state of California of a lot of the California infrastructure program projects, which are separate from the stimulus projects, should benefit asphalt shipments in California as those projects resume. They were largely stopped throughout the first quarter. While we improved our material margins in California, our shipments were down significantly year-over-year. Texas and California are our larger asphalt markets, particularly California, so I would think we have an opportunity to see perhaps more improvement in asphalt shipments than we have baked into our outlook. That's going to depend on when these projects actually start shipping, both the stimulus projects as well as the California infrastructure projects.
Brent Thielman - DA Davidson: On the price, the asphalt mixed price in the first quarter, I think it did come down sequentially. I am just wondering, is that seasonal? Do you typically see a ramp-up in its pricing?
Don James: Asphalt mix prices went up in the first quarter.
Dan Sansone: He said sequentially.
Brent Thielman - DA Davidson: From the fourth quarter, I'm sorry.
Don James: As you know, liquid asphalt spiked in mid-year '08, and our margins eroded as we were shipping material with higher liquid asphalt costing, and faster than we could get our pricing up. Certainly, we have moved pricing to offset the higher cost of the liquid asphalt, and our margins have returned to more normalized levels. We expect that to hold going into the second quarter of 2009. At some point, if liquid asphalt prices remain low, which we hope they will, that that will be reflected in the absolute price of asphalt mix. Hopefully, we can hold our margins.
Brent Thielman - DA Davidson: Just lastly, have you had any disruptions in your quarry in the Yucatan just subsequent to the end of the quarter?
Don James: No, we haven't. We have got 350 employees in that operation, including 50 teachers at our school there, and we have not had a single case of flu. We did have a two-day production interruption in response to President Calderon's order that all production facilities shut down for the five-day period over the past weekend. So we did lose two days of production, but we have already got that scheduled to make up on weekends as we go forward, but so far, [knock on wood], our employees have not been affected at all by the Swine Flu.
Operator: Your next question comes from the line of Aynsley Lammin of Citigroup.
Aynsley Lammin - Citigroup: First, just two quick questions. Firstly on the dividends. Just wondering if you could give a bit more on your thinking behind that and should we take kind of dividend being held for the first quarter is a good indication that will be the same for the full year. Obviously, it is not in the statement, but just wondered if you will give any more kind of any guidance on the EPS for the full year based on your current assumptions on volumes and prices?
Don James: With respect to the dividend, that is something that our Board will look at the upcoming Board meeting. It is certainly an issue that we take seriously, and there are competing considerations. I will not prejudge how our Board views. They do feel very strongly that we need to return cash to shareholders, and they have been very supportive of the dividend historically, but that's an issue that we will take up quarter-by-quarter. With respect to EPS guidance, we have not given EPS guidance for the year or for the second quarter. I think in this economy and with the uncertainty in the private sector construction and the uncertainty of the timing of when stimulus projects are going to go, we have elected to let you guys decide how much we will make this year instead of trying to give you guidance on it.
Operator: There are no further questions in the queue. I would now like to turn the call back over to Mr. Don James.
Don James: Well, thank you very much. This was a very tough quarter for us. I think our management teams are doing all the right things. This is about volume. If we get a recovery in volume, we believe we are very well-positioned to benefit strongly from that. Our view is that volume recovery will come from public sector infrastructure funding first, and that the private sector will come along later. We are managing our business to survive this downturn, to position ourselves for the long-term, which has been Vulcan's strategy for about the last 50 years, and it is not changing. Thank you very much for your interest, and we look forward to talking with you in three months.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.